Operator: Good day and thank you for standing by. Welcome to the DiamondRock Hospitality Company's First Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Briony Quinn, Senior Vice President and Treasurer of DiamondRock Hospitality. Please go ahead.
Briony Quinn: Thank you. Good morning, everyone. Welcome to DiamondRock's first quarter 2023 earnings call and webcast. Before we get started, let me remind everyone that many of our comments today are not historical facts and are considered to be forward-looking statements under federal securities laws. As described in our filings with the SEC, these statements are subject to numerous risks and uncertainties that could cause future results to differ materially from those expressed in our comments today. In addition, on today's call, we will discuss certain non-GAAP financial information. A reconciliation of this information to the most directly comparable GAAP financial measure can be found in our earnings press release. With that, I'm pleased to turn the call over to Mark Brugger, our President and Chief Executive Officer.
Mark Brugger: Thank you for joining us today. The first quarter results from the DiamondRock portfolio set records for both revenues and total profits. In the quarter, comparable RevPAR increased 16.9% and comparable revenues increased 18% over the prior year. Hotel adjusted EBITDA increased $8.5 million or 15.9%. The results were also well ahead of 2019, with comparable RevPAR up 13.8% and hotel adjusted EBITDA up 19.5%. These record results speak to the quality of our real estate, our favorable geographic footprint and our strategy to have a portfolio of differentiated hotels and resorts. It is the DiamondRock portfolio that is our competitive advantage. The DiamondRock portfolio distinguishes itself from its public peers by having only two of its 35 hotels, subject to long-term management agreements. This increases both the liquidity and the NAV of these unencumbered properties. The portfolio today is comprised of 35 properties, 20 in urban gateway markets and 15 in prime resort locations. It's a well-balanced portfolio. By full year revenue, it is about 60% urban and 40% resorts. We believe that we have carefully curated a unique portfolio that can outperform the industry averages over the long-term because of our focus on the right markets and the favorable experiential travel trend. Our urban properties are concentrated in some of the most desirable submarkets of the best gateway cities. These submarkets include New York's Times Square and Midtown East, Boston Seaport and Financial Districts, Chicago's, Magnificent Mile, Denver's, Cherry Creek District, San Diego's, Little Italy and Salt Lake City's Temple Square. Just as importantly, we have largely avoided markets like San Francisco, Portland and Los Angeles, where values have been crushed for post-pandemic structural changes in demand, new transfer taxes and reduced operating efficiencies from recently adopted hotel ordinances. Our resorts like our gateway hotels are situated in prime locations, like the Vortex among the Red Rock Sedona, the snow-cap mountains of Vail, the Wine Country in Sonoma or the beaches of the Florida Keys. Collectively, these resort markets are positioned to outperform in the coming decade from the accelerated paradigm shift towards more leisure travel that powerfully is combined with little to no supply increases. Let's get into the trends that we are currently seeing within the portfolio. The group segment is showing considerable strength. Compared to the first quarter of last year, room revenue increased 59% and in the quarter for the quarter activity was up nearly 15%. The benefit of owning well-maintained hotels in key submarkets is readily apparent in the performance of our group-centric hotels. RevPAR at the San Diego Westin increased 71% over Q1 2022. And RevPAR at the Chicago Marriott increased 62%. Similarly, RevPAR at the Boston Western Seaport increased 40% over the first quarter of 2022, which impressively was more than 10% over its prior first quarter peak. Business transient demand has also rapidly recovered. Midweek business transient occupancy at urban properties increased 50.8% in the first quarter from the comparable period. This strong business transient demand helped set records for our trio of select service hotels in Manhattan, which were stars in the first quarter with RevPAR increasing at an average of 45.6% over Q1 2022 and 8% higher than the comparable period in 2019. Business transient demand also propelled results at the Hotel Emblem, which cemented its status as the number one TripAdvisor ranked hotel in San Francisco. This tiny boutique delivered nearly an 80% increase in RevPAR over last year and double-digit RevPAR growth compared to 2019. Just as encouraging was the intra-quarter momentum for BT. In January, in [indiscernible] business transient occupancy at our urban hotels was 51.7% of comparable 2019 levels. And by March, it was 16 percentage points higher at 67.7% of 2019 levels. However, it is really the resort segment that continues to be the big long-term beneficiary of travel trends that began before the onset of the pandemic. There is a fundamentally favorable imbalance of robust leisure demand for the limited number of resorts in the US. This imbalance underpins our belief that resorts remain a great capital allocation choice for the coming years. In fact it is now obvious that the more resorts you acquired prior to the pandemic the better off you are now. As you know, DiamondRock nearly doubled its number of resorts prior to the pandemic through the acquisition of seven different resorts in the five years prior to 2020. It was this delivered capital allocation that helped fuel our record-setting performance. For our entire resort portfolio, the results in the first quarter were very strong with RevPAR that was 30.4% higher than 2019 and adjusted EBITDA that was 47% higher than 2019. This operating outperformance yielded enormous NAV increases for our resorts where we estimate NAV increased by nearly $200 million or about $1 per share since 2019. For the industry, STR reported that the resort segment in the US increased year-over-year RevPAR by 12.9% in the first quarter. As the world settles down post pandemic each resort market is establishing a new normal baseline, which began happening around September of last year. Encouragingly, in this first quarter we saw record RevPAR performance from our luxury collection resort in Vail up 18.8%, our Hilton and Vermont up 13.5%, the lodge at Sonoma up 11.5% and the Kimpton Shorebreak in Huntington Beach, which is another number one ranked TripAdvisor hotel. After experiencing explosive growth during the last few years, we are seeing the resorts in Destin Beach and the Florida Keys stabilizing at their new normal still behind last year, but still more than 38% above 2019. We expect this new normal adjustment will continue until we get to lap this trend in late 2023. And when leisure is likely to resume its outperformance headed into 2024 and beyond. That's a good transition to give you an update on the acquisition market more generally. While Jeff will discuss our current capital allocation options, including share repurchases at these steep discounts. We remain active in trying to find more acquisitions of the kind that have worked so well for us unique experiential hotels, generally owner-operated and held by non-institutional folks. We've been focusing these type of deals for almost a decade and have a first-mover advantage. DiamondRock's well home skill set for identifying and unlocking value at these type of properties puts us in a great position to create value when we can pry them loose. Of course, a deal we would do this year will have to be something that we really love, but there are a few special opportunities out there where we are actively engaged in conversations. For broadly marketed deals, we expect the low transaction volumes to begin slowly picking up later in 2023, and into next year. Before turning the call over to Jeff to discuss our fortress balance sheet and earnings in greater detail we do want to provide comments on our outlook. Regarding group in full year 2022, we generated 83% of prior peak group room nights. Clearly, there is significant room for improvement and we are making excellent progress. In the first quarter, group room nights were 88% of prior peak and our current forecast is to finish 2023 at 94% of peak group room nights and 102% of peak group revenue. We are aggressively closing in on that target. Our group revenue booked in Q1 for the remainder of 2023 was up 28% over the last year with the strongest gains to be found in the next two quarters. Our full year forecast has group room rate up 14.5% to 2019, but it's still about 46,000 room nights behind prior peak, including out of the room spend closing that gap and capturing those rooms could add $20 million of incremental revenue to our 2024 results. On leisure, it's been the top performance segment over the past few years. In 2023, we expect each market will reach a different level of new normal after which leisure will likely return to its long-term secular growth trend line but off of a much higher base with the new normal 2023 resort NOI about 50% higher than 2019. As one point of additional opportunity for our resorts, they are projected to end 2023 at four percentage points of occupancy below prior peak and closing that gap next year could be worth another $24 million in revenue. Finally, business travelers are clearly getting back on the road, but we are seeing that positive BT trend line moderate a little on the demand side while we continue to push rate to maximize profitability. I'll sum up by saying that, while the economic outlook is still too volatile to provide investors with useful earnings guidance. We continue to expect DiamondRock to achieve record revenues in 2023. With that, let me turn it over to Jeff. 
Jeff Donnelly: Thanks. As Mark said at the onset of the call, it was another strong quarter for DiamondRock. Comparable total revenue was up 18% over 2022 and 14% over 2019. Hotel adjusted EBITDA increased 16% over last year. This enabled us to generate corporate adjusted EBITDA of $55.4 million and adjusted FFO of $0.18 per share. Comparable RevPAR for the portfolio in the first quarter was $185, or nearly 17% higher than 2022 and nearly 14% higher than 2019. This growth was driven by a 23% increase in room rates over 2019. Occupancy was down 540 basis points to the first quarter in 2019. This is a 240 basis point sequential improvement, from Q4 2022. Closing this gap, remains one of several sources of future growth for DiamondRock. F&B and other revenue increased 14.1% or over $10 million on a combined basis, to nearly $83 million driven by several repositioned F&B outlets and new income streams created by our asset managers during the pandemic. We will share with you soon several new or upgraded outlets we are working on that will continue to drive profits to new levels, in 2024 and beyond. Comparable hotel adjusted EBITDA was $61.9 million, which beat first quarter 2019 by $10.1 million or nearly 20%. Adjusted EBITDA was $10.5 million and 23% better than 2022 and FFO per share was 28.6% better than 2022. Profit margins remain a great story for us. Comparable hotel adjusted EBITDA margins were 25.8%, up 117 basis points to 2019. Our resort portfolio finished the first quarter with a comparable hotel adjusted margin of 34.9% or 379 basis points higher than the same period in 2019. Importantly, this performance expanded upon the 341 basis point improvement reported by our resort portfolio in the fourth quarter of 2022. Comparable hotel adjusted EBITDA margins at our urban hotels were 18.2%, up 823 basis points over 2022. Urban hotels have yet to see demand recover to 2019 levels. So while we rebuild profitable corporate business, we are identifying permanent efficiencies to amplify our ultimate recovery. Operating efficiency is a critical factor in all aspects of capital spending on rooms, outlets and even back-of-house design. A more immediate example of efficiencies, can be found at our Chicago Marriott Magnificent Mile, which now operates with 20% fewer managers than it did in 2019. Our goal for 2023 is for hotel adjusted EBITDA margins to be roughly flat to 2019. Portfolio-wide increases in property insurance and property tax, are expected to be headwinds for the industry and for DiamondRock. Looking at the remaining three quarters of 2023, we expect total expense growth at our resorts will increase in the low single digits over 2022. For our urban hotels, expense growth is likely in the range of 12% to 13% for the remainder of the year, as we grow banquet business and fill positions as we rebuild occupancy. We are working hard to offset these increases through aggressive asset management, converting contract workers back to full-time employees and more efficient staffing models. Moving to capital allocation. As discussed in the prior earnings call, in early February, we executed two hedges to end the quarter with 64% of our total debt fixed or swapped. Subsequent to quarter end, we acquired the fee simple interest in the remaining land parcels under the Worthington Renaissance parking structure for approximately $1.8 million. We now own a 100% fee simple interest in the hotel. The transaction enhances the liquidity and financeability of this asset and more importantly, reinforces DiamondRock's low exposure to ground lease assets.  At the end of March, we acquired 56,400 shares of common stock at $7.26 per share before our window closed. This price represents nearly a 10.5% cap rate on trailing NOI or $270,000 per key of enterprise value, which is less than half our replacement cost. We were disappointed we could not be more active at these levels. Share repurchases are a key component of our capital allocation opportunity set and we constantly evaluate repurchases, against external growth opportunities as well as the high yields and long-term value creation, from our ROI pipeline. Speaking of ROIs, the portfolio continues to drive cash flow and create value as we execute our high ROI repositioning plans. In the last 24 months, we have completed the conversion and up-branding of the Vail Marriott to The Hythe, a Luxury Collection Hotel; the JW Marriott Denver to Hotel Clio, a Luxury Collection Hotel; the Key West Sheraton Suites to the Margaritaville Beach House and The Lodge at Sonoma to An Autograph Collection. In the first quarter these four hotels alone generated a collective RevPAR increase of 46% over 2019, with hotel adjusted EBITDA up 75% since 2019. Importantly, net asset values increased at these hotels and we are seeing a handsome return on our investments. Since 2021, we have, or will execute, a total of $90 million of ROI projects at 16 of our 35 hotels, creating and executing these types of repositioning is a core competency for DiamondRock. We are currently underway with three more ROI repositionings; the Hilton Boston to a lifestyle hotel that will be completed late summer; the Hilton Burlington to a lifestyle hotel to be named Hotel Champlain, a lakeside resort to be completed this fall as part of the Curio Collection; and the Bourbon Orleans repositioning to a premium urban lifestyle hotel in the French quarter to be completed before the Super Bowl and Mardi Gras in early 2024. We also have plans to create significant value and other -- at several other properties including our Orchards Inn Sedona, our Lake Austin Spa Resort and our Landing Lake Tahoe Resort. These will allow us to grow value and drive premium core growth in future years. There is more to come, so stay tuned. Turning to the balance sheet. We remain committed to having a strong and flexible balance sheet. Our leverage is conservative as demonstrated by the low trailing four-quarter net debt to adjusted EBITDA ratio of 3.8 times. Our liquidity is very strong at $585 million, including $185 million of cash. Our $400 million revolver is undrawn. But just as critical, the $400 million is fully available to us even under our most restrictive debt covenants. Moreover, we expect to generate over $215 million of cash this year before capital expenditures and dividends. We have a few demands on our balance sheet and this allows us to play offense at a time when others may be forced to sell at depressed prices. Conversely, and to be clear, this is not our expectation, if real estate capital markets were to remain choppy for an extended period, we project we will have the capacity to retire all debt maturities, fully fund all capital expenditures, fund all pending ROI projects and pay projected preferred and common dividends through 2025 from current liquidity and retained cash flow. This scenario was not our house view of the future, but we believe it is an important point of differentiation for DiamondRock. We believe our well-maintained portfolio, low leverage, flexible and liquid structure, long weighted average maturity and strong cash flow are distinct and material advantages. Moreover, unwinding our balance sheet does not create a drag on our NAV. With that, let me turn the call back to Mark.
Mark Brugger: Thanks, Jeff. Let me end by saying that we remain bullish on the future of travel. Travel is one of the most highly valued assets in our society and around the world. Leisure demand enjoyed a strong period of outperformance that began before the pandemic and we see that secular trend of outperformance continuing in the coming years. On group, the funnel for future business looks very strong. On business travel, while there is still some uncertainty as to where demand ultimately settles out, there clearly has been positive momentum and we are primed to take share from other hotels because of our excellent locations and from repositionings like the Clio, Denver, Luxury Collection hotel or the upcoming conversion of our hotel in Boston. To wrap up, the first quarter of 2023 was a record for DiamondRock's portfolio in terms of both revenues and profits. Moreover, we believe that we are well positioned for this cycle with a very high-quality portfolio, a focused strategy and careful liquidity to move opportunistically. At this time, we would like to open it up for your questions.
Operator: Thank you. [Operator Instructions] First question comes from the line of Austin Wurschmidt with KeyBanc Capital Markets. Your line is open.
Austin Wurschmidt : Thanks and good morning. Mark can you just put some further details around your comment that BT is moderating. I'm just curious if that's specific to any markets? Do you think this is a little bit of an air pocket, or are we actually seeing BT stall given what's happening maybe just more broadly given the macro backdrop? 
Mark Brugger: Very good morning Austin. So I think it's somewhat in comparison to the other segments. So leisure has been great. We're well above and elevated from prior peak levels. Group is rebounding. And I think as we mentioned our group revenues will exceed prior peak this year. And then BT it's coming back. It came back behind those other two segments. And we saw good momentum in the first quarter. I think what we're trying to convey is we don't see it reaching prior peak levels this year and it may settle out at something below what as the demand levels were in 2019 ultimately. So good positive volume that momentum that came on in the fourth quarter continued through the first quarter. But what we're trying to indicate we don't see -- we talked about 16 percentage points of growth from January to March. We don't see that see that same velocity while we continue to see here we don't see the same velocity for the balance of the year. 
Austin Wurschmidt : Okay. Got it. And then just on group. I know you gave some stats but what percent of group revenues on the books relative to budget? And how much do you expect to pick up I guess in the quarter for the quarter over the balance of the year? And can you just talk a little bit about how the short-term leads are today relative to maybe what you saw last year? 
Mark Brugger: So I'll take the front of that question and maybe I'll hand it over to Justin to talk a little bit more about group. So we have today we ended the quarter with about 80% of the group room nights already under contract that we need to hit our forecast for the full year. So we feel good about the position that we're sitting in for group. Justin, do you want to add some comments on the group? 
Justin Leonard : Yes. I think we hit it in our highlights and we've seen group as an area of strength just in the industry generally. And in full year '22 we did 83% of prior peak. Q1 was 88% of prior peak and our current forecast is to get back to 94% of prior peak just in group room nights and we're expecting to exceed that in volume. But I think more importantly what we're seeing is in the year for the year pickup is actually accelerating. So in Q1 our in-the-quarter pickup for the remainder of 2023 was up 28% just in room night volume versus Q1 2019. So we continue to see that velocity while being somewhat short term expand over what we saw last year. And so we're optimistic that we can even further close that room night gap to what we're projecting for full year '23. 
Austin Wurschmidt : Got it. Thanks, Justin. Thanks, Mark.
Mark Brugger: You bet.
Operator: Thank you. One moment for our next question. Next question comes from the line of Dori Kesten with Wells Fargo. Your line is now open.
Dori Kesten : Thanks. Good morning. You talked a bit about your appetite to apply this year Mark. Should you transactionally assume you acquire pretty similar to what you have over the last several years like relatively small relationship potentially owner managed? 
Mark Brugger: Hey, Dori, it's a great question. So we're still focused -- this isn't the time to go out and do a big deal. We think we have ample liquidity and something we do given our cost of capital would have to be something that has relatively high returns in a market where there's still a lot of private equity chasing deals. So we think our competitive advantage remains in these relationships we've built often in kind of differentiated resort markets from owner-operators. So that continues to be the bulk of the conversations that we're having. That's where we think we can create more value. It's where we think we can buy things relative to our cost of capital that might make sense. But I can say in the broadly marketed deals we've seen they're still -- it's still very competitive in the pricing. The pricing on this probably doesn't make sense for us. So we're trying to focus on the things where we think we have a competitive advantage. 
Dori Kesten: Okay. And some peers have talked about selectively reducing FTEs in the near term. Do you feel the need to do so, or is your focus more on offsetting contracts with permanent workers? 
Mark Brugger: Justin do you want to talk about the efforts we have for maintaining our margins? 
Justin Leonard : Sure. I think specifically on labor, we're doing a number of things. I think one of the things Mark spoke about, specifically on the resort side where we've really cultivated a unique portfolio of small independent experiential resorts. We continue to look at how we can more efficiently run those small businesses by pooling resources. And I think it gives us an advantage both from a margin perspective but also in potential acquisitions. So, for test like cultivating relationships with luxury travel agents or small group meeting sales or even optimizing e-channel placement, we're using external third party resources in lieu of on-property staffing for some of these smaller assets. It allows us really to get best-in-class resources for a significantly lower cost and eliminate those on-property FTEs versus the owner-operated run rate model. I think with respect to contract, we are focused on decreasing reliance on contract labor portfolio-wide. I think in the tight labor market in the last couple of years, everyone was forced to step up quickly and really use all labor sources we could secure. But given that market contract, labor costs have really inflated much faster than overall wage growth in many of our markets. It now represents a premium cost in a lot of those markets to bring those associates onto our property level teams, especially we factor around additional turnover and training. So we are -- we continue to push for more FTEs on staff within our individual assets. Just as an example since acquiring Lake Austin, we've moved entirely away from contract labor in our spa operations. And we're seeing that benefit both on the spa expense side, but it also helps us deliver better service to guests and probably more importantly, eliminating that middle man delivers a better paycheck to the associate.
Dori Kesten: All right. Thanks.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Duane Pfennigwerth with Evercore ISI. Your line is now open.
Duane Pfennigwerth: Hey. Good morning. Thanks. Just on F&B, one of the trends we've seen really across lodging this sector is higher F&B relative to room revenue. I wonder if you could just provide some context on what you think is driving that. And again, from an industry perspective, if you see it as sustainable?
Mark Brugger: Sure. So, this is Mark. I'll kind of kick that off. So I think generally what we're seeing is we're seeing better than anticipated outside the room spend on banquet. So the groups that have been coming over the last really six months, I would say, have generally surprised to the upside on their AV rental, what they're doing for the events the food items. I think there's this general sense that from the event planners that if they're going to get people on the road and get them together, it needs to feel meaningful and have satisfied attendees you need to really kind of roll out the carpet to make sure that they feel like it's worth the effort given the tight labor market. So, we've been very pleased on that side. I think for the DiamondRock portfolio, specifically otherwise, we hit new records for outlets last year. So we've made a conscious effort to -- and we think increase the guest experience by putting in a number of specialty restaurants within our hotels whether that's a Richard Sandoval, Toro or a Michael Mina restaurant or Vivian Howard in Charleston, we've cultivated a number of these relationships, which have led to a much higher F&B, particularly in the outlet and that's sustainable. I think that continues to be something that makes our hotels more desirable, and it continues to resonate with the travelers today to have those kinds of choices within the properties. Justin, anything else on F&B?
Justin Leonard: I think on the resorts, we're pretty pleased to see continued growth in outlets, in food and beverage, I think due to some of those repositioning. I do think that comparable on a year-over-year basis will probably moderate for the urban. I mean there were a few of our urban assets. And I think there's just in the industry generally where the outlets were not fully open in Q1 of 2022 and we didn't have, for example, room service installed in Q1 of 2022. So, I do think some of that fruit of average growth will probably moderate just in terms of outsized revenue growth as we go through the year.
Duane Pfennigwerth: Thanks. And Mark, maybe I'll stick with you. When we were together in Bethesda with investors in late March, you had talked about increased dialogue with private equity firms, kicking tires on the sector and potentially kicking tires on DiamondRock specifically. Can you give us an update on that kind of the tenor and the pace of those conversations?
Mark Brugger: Sure. So I guess we always have a year of conversations with private equity firms. As you know, there's probably about -- I think what the last chart, I saw was about $230 billion raised to deploy against real estate and hotels have moved up as a desirable asset class among those private equity firms. That's what we're hearing. We've been engaged in some regular conversations with folks as we always are. I'm not sure, it's appropriate to comment on some of the substances and details of those conversations. But, I can tell you the interest in the sector from our conversations remains very high.
Duane Pfennigwerth: Thank you.
Operator: Thank you. One moment for your next question please. Our next question comes from the line of Smedes Rose with Citi. Your line is now open.
Smedes Rose: Thanks. I just wanted to ask you, you talked about return to the new normal in Florida. And I was wondering would you apply that to what you're seeing at the Lake Austin property, which looks like it saw a pretty steep year-over-year declines? And are you still comfortable with what you underwrote those assets with -- in your initial guidance when you had -- when you purchased them?
Mark Brugger: Sure. So let me start with leisure generally. So we are seeing leisure demand we think at an all-time high. If you look at the STR data the year-over-year Q1 RevPAR was up 12.9%. Recently we were just listening to airline CEOs and the cruise line CEOs, you're hearing about the robust demand. And frankly the airlines probably have the best data set. So we're believers that there is more leisure and that's going to continue. I think some of what we're seeing in the Florida Keys is the couple that might have gone to Florida Keys last year. They were nervous by COVID now maybe they're taking a cruise or they're going to the Caribbean, but the overall pie is just much bigger and that's a trend that we think continues to be a smart place asset allocate capital. On Lake Austin Spa, specifically that resort there was an ice storm in the first quarter. That was about a $500,000 hit. On the bottom line we're still -- through cost savings we're still on our underwriting for the first quarter. So we feel good about our position I know that Justin spoke about some of the things we did on the labor there. The systems we talked about when we acquired it, converting from an owner operator pretty primitive pricing model that they had in place with sophisticated new systems and best-in-class operating tools. Given the backlog on getting those implemented, they're really getting implemented in April and May and we think we'll see enormous returns from those and our ability to professionally asset manage and revenue manage that property going forward.
Smedes Rose: Okay. Thanks. And then I just wanted to ask you in Sonoma, you were up but I was just wondering did you guys see any weather impact out there from the rating activity during the quarter that may be depressed results at all or?
Mark Brugger: No. We thought Sonoma performed well. It hit our expectations, actually exceeded our expectations a little bit. So we didn't see any weather impact.
Jeff Donnelly: We had some minor disruption maybe day and a half, but it wasn't significant to the overall quarter.
Smedes Rose: Okay. Thank you guys.
Operator: Thank you. One moment for our next question. And our next question comes from Floris Van Dijkum with Compass Point Research & Trading. Your line is now open.
Floris Van Dijkum: Thanks. Good morning guys. I had a question on your redevelopment assets. Obviously, you've got a couple of hotels that you're rebranding. I wanted to -- you haven't disclosed what you're rebranding the Boston Hilton to. Maybe if you could give us a little bit of insight into your thinking about having that be a soft brand versus a lifestyle unbranded hotel, and what the cost benefits potentially could be, because we understand that soft brands while they might have been seeing like an autograph or a Curio might have been cheaper two years ago, they probably aren't as cheap as they were back then. And if you could give us some more update on that that would be great?
Mark Brugger: Sure. Well, one, we think it's a fabulous location in Boston. It's a seven-day a week location, which gives us a lot more optionality. We're not dependent on the brand and the brand channel of that particular location. We're spending about $31 million on the property this year. Now it was due for rooms redo. So that's not all incremental to the repositioning. But we'll have it repositioned brand new spectacular gym that we built out, as well as the meeting space lobby everything redone. So we think it's a unique special property. We probably will go independent at that property this summer. Jeff, do you want to give some numbers? I know you have an analysis in front of you?
Jeff Donnelly: Yeah. How are you doing, Floris? As Mark mentioned we're looking at the path we ultimately take with that asset this summer. I think there will be some displacements depending on whether or not we go fully independent door remain within the Hilton system just the change is going to cause some disruption. I think the figures we looked at for the full year is probably going to be around $5 million to $6 million on sort of a revenue and EBITDA impact than the plan that as we grow back we'll be able to pick up substantially more than that just because I think that in that particular location and being able to appeal to a leisure customer being so close to Altisource destinations, but also a business customer in the financial district having more of an independent field to that hotel will be able to command a much higher rate premium than we have in the past and ultimately better profitability. So, it could be several million dollars more than the disruption we'll realize this year in terms of earn back on NOI in the future. 
Floris Van Dijkum: Thanks. And maybe my follow-up. I mean I looked at the EBITDA contribution of your Worthington Fort Worth Hotel and your Salt Lake and they jumped up significantly. Was the Worthington increase due to the buying out of the ground rent or what was behind the big jump in performance from those in particular those two hotels?
Mark Brugger: So, worthy to let's talk about that specifically. So the ground lease is relatively small as tens of thousands of dollars in lease payments. It was not a material difference to the earnings result, frankly it didn't impact Q1. We are excited to -- it covered a portion of the parties but we're always excited to eliminate any ground lease and now we have complete control of the property. And frankly, there is probably other things in the future that could be done with that location of that parcel. So we think that that's a win for DimondRock. Worthington had good group exposure. Markets like Fort Worth markets like Salt Lake City those cities are doing particularly well as some other major markets become less desirable those markets are really prime to take share from the San Francisco and this economy. We're seeing office and the desirability of the kind of companies wanting to be in those decisions really exceed what we're seeing on a nationwide trends. So they're benefiting from that. 
Floris Van Dijkum: Thanks Mark.
Operator: Thank you. The next question comes from the line of Michael Bellisario with Baird. Your line is open.
Michael Bellisario: Thank you. Good morning everyone. Mark just wanted to go back to some commentary on the resorts and performance during the quarter. Maybe just give us your view of in aggregate how they perform versus your internal expectations? And were there any particular markets that were better or worse than forecasted during the quarter aside from the commentary you already provided on Sonoma? 
Mark Brugger: Yes, I mean in addition to Sonoma, Vail, Huntington Beach were ahead of our expectations. I think the ones that were that kind of were different than our forecast at Lake Tahoe. There is obviously a record amount of snow and that impacted performance a little but it's a tiny asset so it doesn't move our overall numbers. And I would just say the -- except for Fort Largo, which was we were able to group up very effectively, the Florida Keys were behind our expectations for the first quarter as kind of things kind of new normal whether significantly ahead of 2019, we think we're establishing the new normal for the Florida Keys in 2023. And hopefully, we'll be able to grow from that as we move into 2024.
Michael Bellisario: Got it. Thanks. And then just a follow-up and switching gears on margins. Just wanted to dig into the commentary there. Did you say flat margins for the remainder of the year, or is your expectation that the full year 2023 is roughly flat at the hotel EBITDA level? And then any quarterly cadence 2Q to 4Q that you could provide to help with modeling would be appreciated. Thanks.
Jeff Donnelly: Hey Mike, this is Jeff. I would say that on a full year basis, the thinking was that margins would be approximately flat to what they were in 2019 which is I believe about 29.5% was the number back in 2019 that we had on a comp basis out there. In terms of the cadence I'm just eyeballing this while we're talking. No, I mean I think when you look at the remainder of the year, I think from a timing standpoint, probably our most difficult quarter is the second quarter when you begin to think about margin gains just because you certainly had strong -- when you think about the comparisons to last year you had revenues that were very strong and ramping over the course of the year so the comparison will get tougher. And at the same time, if you think about the rebuild of expenses last year you still were earlier in the year seeing wage rates rise and staffing obviously moves with occupancy recovery. So I think probably the first half of the year generally has more difficult margin comparisons for us than the back end of the year.
Mark Brugger: Yeah. Just to add on to that. On the resorts if you look at the Sedona and the South Florida markets, you can see the new normal kind of getting into place starting September of last year. So those comps also get easier which I think will help the overall margin story as we kind of move into fourth quarter and start 2024.
Michael Bellisario: Helpful. Thank you.
Operator: Thank you. One moment for our next question. The question comes from the line of Anthony Powell with Barclays. Your line is now open.
Anthony Powell: Hi. Good morning. I guess a follow-up on the fourth quarter and then leisure kind of reaccelerating. Is that based on booking trends you're seeing, for the holiday period? And do you expect the growth to be more in occupancy or rate?
Mark Brugger: Great question. So leisure doesn't usually book out six to nine months. But what we're seeing and kind of what we were watching in real time September, October, November, December of last year particularly in Sedona in South Florida as we could kind of see the world reopen. So while demand was robust, generally for leisure, people felt comfortable traveling to alternative destinations. So kind of got to that new normal, I think as the world was opening up the people were comfortable. So our expectation is that, that comp gets much easier when we approach the fourth quarter both on probably evenly split between knock-in rate is our expectation right now.
Anthony Powell: Got it. Thanks. And then, maybe one more in terms of dispositions, we talked about maybe selling some group hotels in the past. But given what you said about group being kind of a strong segment does it make sense to retain the group hotels that you currently own or even add more in the future?
Mark Brugger: Yes. We like group probably by room type about half of our hotels are -- by room number are about 40 -- let me calculate about 49% of our hotel rooms are in group-centric hotels over 400 keys. I think its fine. I mean, I think group will continue to be good this year and next year. We still like the leisure segment probably the best over the next five to 10 years. But this year our group hotels are doing excellent probably the value of all those hotels increases over the next 12 months. And for large hotels it still remains a difficult debt market. So, those things combined to lead us to, it's probably better to hold any group hotel in 2023.
Anthony Powell: Thank you.
Mark Brugger: But that said, everything is for sale at the right price.
Anthony Powell: Got it. Thanks.
Operator: Thank you. [Operator Instructions]. And currently showing no further questions at this time, I'd like to hand the conference back to Mr. Brugger for any closing comments.
A - Mark Brugger: Thank you, Operator. Well, thank you to everyone on this call. We appreciate your interest in DiamondRock. And we look forward to updating you next quarter. Take care. And have a great day.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.